Operator: Good morning and welcome to the Swisscom Q3 Results 2023 hosted by Christoph Aeschlimann, Eugen Stermetz and Louis Schmid. Louis, the floor is yours.
Louis Schmid: Good morning, ladies and gentlemen, and welcome to Swisscom's Q3 Results Presentation. My name is Louis Schmid, Head of Investor Relations. And with me are our CEO, Christoph Aeschlimann; and Eugen Stermetz, our Chief Financial Officer. Today's presentation consists of three chapters. Our CEO starts with chapter one and a quick overview on the highlights, the operation and financial performances of the Q3 results. And in chapter two, Christoph presents the B2C and B2B operation results, an update on our network activities and the financial results in Switzerland, before discussing Fastweb's Q3 results operationally and financially. In the second part of today's results presentation, Eugen runs you through chapter three with the second quarter financials, including the full year guidance. With that, I would like to hand over to Christoph to start his part. Christoph?
Christoph Aeschlimann: Thank you, Louis, and welcome from my side to this investor presentation. It is our 100 quarterly results presentation of Swisscom since the IPO 25 years ago, and I'm very delighted to have you all on the call and present pleasing results on the way to the full year. I will directly move to page four of chapter or chapter one, page four of the Q3 achievements that you've seen in the results that we have. Very pleasing financials with increased top line of 1.5% and EBITDA growing by 2.1%, presenting the best margin over the past two years. We were also able to win the best or strongest brand award in Switzerland by the Swiss Brand Finance report, which is very pleasing result and demonstrate our efforts we're doing in branding and positioning Swisscom as a strong brand in Switzerland. Last week we also launched the new TV box, TV box number five and some more details later on how this will help our B2C entertainment business. I'm also happy to report that we achieved a net telco savings of plus 50 million year-to-date offsetting roughly our service revenue decline, which is from my point of view excellent result that the company has achieved. Then moving to Italy, we have seen continued growth in Fastweb, more details later on in the Fastweb section leading us overall to a unchanged EBITDA and CapEx guidance, whereas revenue, we slightly adjusted due to lower hardware sales and especially the lower Euro to Swiss Franc exchange rate impacting the Fastweb revenues conversion to Swiss Francs. Now moving to slide number five, you can see the Q3 market performance. We have roughly the same operational trends in Q3 as the ones we had in Q1 and Q2. Looking at Swisscom Switzerland, you can see a continued postpaid growth with 32,000 new RRGs and stable market share, which is a very pleasing result, whereas broadband is roughly stable, slightly declining with minus 3000, bit improved over Q1 and Q2. And if you look at the wholesale figures, we can say that wholesale and broadband year-over-year roughly cancel each other out with overall a minus 2000 effect year-to-date. Whereas TV is slightly declining, so we see that the move from TV, the regular TV box to streaming is continuing in the market, leading to a slight loss in our views on the TV side. And also the structural decline on fixed voice is a continuing of the same trend in the previous years with minus 22,000 this quarter. On the Italian side, we have a similar picture with strong growth on mobile, slightly decrease in Q3, but still strong increase of 85,000 are due bringing us to 5% market share. Whereas on the broadband side, we continue our value strategy and accept a loss on the broadband side, which we overcompensate by the biggest ever increase in wholesale lines this last 47,000 this year. More information on that later on in the Fastweb section. On slide six, you can see the overall financial performance in Q3. So revenues stood at CHF 2.7 billion, which is up by 1.5%, EBITDA on CHF 1.174 billion, which is up 2.1% and net income going up by 7.7% to CHF 462 million. On the EBITDA bridge on the right hand side, you can see that from Q3 2022 to Q3 2023, it's roughly stable Switzerland, slightly declining by minus CHF 6 million, compensated by Fastweb, increasing by 4 million, and then some effects in the other segments and the big pension reconciliation impact due to interest rate changes. More details on this maybe later on by Eugen. But overall a stable development, bringing us to the 1.174 billion EBITDA. Now I'll move to the business review chapter two. I'll go directly to page eight. We can say that Swisscom overall is continuing to executing along our strategic objectives. So number one is stabilizing the telco business in Switzerland, and maximizing the value generation based on our customer base. I think on the B2C side, we can say that we are roughly stable evolution, slightly declining. On the B2B side, things are a bit more difficult. We still have an ongoing service revenue erosion, but we are working hard on this topic to decelerate the erosion in the coming -- in the years to come. This is also why the operational or driving operational excellence remains a key topic within Swisscom, mainly in simplification, pushing digital or automation to continue to deliver cost savings over this year and in the following years. We're also focused on growing our IT business both in Switzerland and in Italy. And then last but not least, we want to achieve profitable growth in Italy on the telco side by growing our wholesale business and scaling up our mobile business in Italy. So looking in more details now at B2C on page number nine. We can, as I mentioned previously, we have again won the strongest brand in Switzerland, which is a very pleasing result. And I'm very happy about the efforts of our teams in this area. And we also managed to win the best connect shop test and the best digital app test by connect. So we can say we sort of combine the best of both world's physical and digital care in Switzerland. And this then leads to further penetration of our blue portfolio and -- which has positive results on churn and value generation. What is also maybe noteworthy is we launched a new kids mobile subscription a couple of months ago and chose very pleasing results, and that the market pickup is very good. On the other side, we continue to work on our second brand to make it more attractive. So we launched a new subscriptions which are a bit higher in value and focus on the higher end of the second brand market with the 5G subscription. And we are also pushing wingo as a full service provider, focusing more on convergent offer, broadband and wireless together and the new app for a customer service. On page 10, you see the details on our new -- or the next step in our entertainment strategy. I think, today we are market leader with 1.5 million RGUs, and we just launched our new TV box, which is now based on the Google Android TV operating system, which allows our consumers to open up the complete world of Google Services. So they have access to any app which is available on the Play Store and can use it on the big screen in their living room. And we also made a quite a big progress on adding new OTT subscriptions to basically transform the TV box from a regular classical TV box into an entertainment hub for the home. And we added Paramount and Disney subscriptions and also new bundles, which, one example is a SuperMax bundle, which includes Disney, Paramount, Sky, and the best of blue TV, together offering good value for our customers. On page 11, you can see the results of all these strategic improvements and new product launches. So we have a really pleasing churn, actually we -- around stable churn around 7%, 8%, on broadband and postpaid value. And we were able to continuously increase the blue product portfolio penetration, moving it to 49% on the mobile side, and 81% on the broadband side.  FMC penetration is roughly stable. And if you look at the RGU and ARPU trends on mobile, we see an increase in the RGU base. So we are have now 3.3 million subscriptions, which is a very nice increase of 170,000 year-over-year, which was a bit counterbalanced by slight decline in ARPU by minus CHF 1. And you'll see in Eugen's part later on that the RGU effect and the ARPU effect roughly cancel each other out financially. The ARPU effect is mainly due to the shift of second brand or first brand to second brand, whereas the prices on the first brand are mainly stable. On the broadband, we have a bit different effect. So ARPU is stable, which is a great job that the teams are doing to keep the price levels where they are. And we accept a slight loss in the RGU base by minus 12,000 to 1.7 million RGUs on the broadband side. Now on page number 12, we will move to the B2B side of our business, and we are happy to report that we have excellent NPS results. We are working very hard on our network quality, IT service quality to make our services more resilient. We bring new innovative products to the market in various parts of the IT business, and they continuously improve our sales and service excellence. And I think we can see that the NPS of our customer base is continuously increasing since a couple of years, and we have now achieved a record values of 45 in corporate and 27 on the SME side, which is very pleasing to me. On the telco side, we are on track according to guidance. So we had a flat service revenue evolution Q3 over Q2 with CHF 382 million. Unfortunately, the erosion is still continuing year-over-year. So you'll see in the financial sector that we have a minus 17 million service revenue erosion year-over-year in Q3, which is in line with the guidance we provided early of the year.  What is very important to note is that we launched a new enterprise mobile portfolio in the market for the SME customers, which will help us in the coming years to work on stabilizing the service revenue and bringing new attractive products to the market on the telco side. On the IT, we see similar trends as the ones we had in the previous quarters. So we have a slight growth of 2 million quarter-over-quarter and plus 13 million or plus 5% year-over-year, part of which is organic growth and another is linked to M&A or the acquisition of recent targets. IT is slightly behind our expectations. So we were actually planning for more growth, but the market is a bit sluggish at the moment. Many of our customers are delaying some of their key projects. So overall we are happy with the IT results, but working on accelerating this again for the future. On page number 13, you see the latest standings on our technology side. So we are continuing to push both the wireless and wireline rollout and network coverage, and happy to report that we have now hit 79% 5G plus coverage in the population, which is up 10% year-over-year, and we maintain our midterm aspiration of 90% coverage by end of 2025. On the wireline side, we are also going full steam ahead. We are now covering nearly 2.5 million households with FTTH or our 10 gig offering, which is 45% of Switzerland now covered by Swisscom FTTH. And there is also discussion in parliament about gigabit funding for very remote locations. So this is still too early to tell what the impact could be of this as the discussion in parliament has just started, but this will be something to observe over the next quarters. On the IT side, we're also making good progress, building up our in-house capabilities and our local talent hubs in Rotterdam and Riga, and continuously simplifying and standardizing our IT landscape and moving to modern cloud architectures. So you can see that the impact of this on page 14 is our operational excellence and telco savings that we are delivering, and many of the savings are linked to networks, and IT simplification, as I just mentioned. Also, the digitization of customer interaction on the service side moving to chatbots, self-service, in the app is an important lever. And then internally, always simplifying and making our organization leaner and becoming more data driven. And embedding AI and automation in our internal processes is helping us to deliver our cost savings. Year-to-date, we achieved approximately 75 million gross savings leading to about 50 million in net after increases in salaries and energy costs. And we expect, as already discussed in the last quarter, about 100 million gross this year leading to about 70 million net end of the year, which should roughly compensate the service revenue decline, which we are expecting for the full year. Last slide about Switzerland. On page number 15, you see the overall Swisscom Switzerland. I will not go into the details as Eugen will outline this more later on. But revenue slightly declining to 2 billion in this quarter, minus 0.8%, mainly driven by slightly lower hardware sales and EBITDA at 911 million, slightly down by 0.7%, but up on a full year basis. Okay, so now I move to Fastweb on page number 16. So I can say that I am very pleased with the evolution of Fastweb in this quarter and this year in general. We had another quarter of solid growth with 9% more revenue and 2% more EBITDA. We have an increase in UBB and mobile customer base. And what is especially important is that we have a very positive momentum on the enterprise side. We have a strong development on the order book enterprise is plus 36%. And also on the wholesale side, customer mix of Enel, Sky, Windtre and Iliad is paying off and performing very strongly in the market with the best result ever in Q3. Now, moving to page number 17. We can see some details on our RGU base. So we are continuing our value strategy on the B2C side. So our broadband subs are down by minus 3% to 2.6 million subs, but we are continuously -- although we are executing a price increase in the market, we have been able to improve the churn further year-over-year. Also, I think what is helping is an increase penetration of the UBP, or ultra broadband, penetration overall in our customer base. On the mobile side, we have a very pleasing growth of plus 17% of the customer base year-over-year, which leads to nearly 500,000 more subscriptions year-over-year, or plus 85,000 in Q3. You can see that the FMC penetration is continuing to increase in our customer base. It's now at 42%, which is also an important result because our converged customers have more ARPU and highly reduced churn overall. So this is an important lever for us to continue to work on. As mentioned before on page 18, you see the very pleasing results on the enterprise business. We have plus 20% in revenues, bringing us to 287 million revenues in Q3. Maybe one word of caution on this revenue increase, don't extrapolate this on a full year basis or for the next years. There are some phasing effects between Q2, Q3, and Q4, which lead to a spike in revenue in Q3, which is obviously very positive, but we shouldn't get overly excited about this and stick to the full year guidance regarding Fastweb. On the wholesale side, we are also moving ahead with full steam, with our new customers. And wholesale line increase you see with plus 39% is mainly driven by Sky, Enel, Windtre and Iliad and leading to 5% higher revenues 84 million in this quarter. So Fastweb financials. Page number 19, we can see 660 million revenues in Q3, plus 9.5% on a full year basis 1.9 billion plus 6%. EBITDA is also slightly growing with plus 1.8% this quarter to 225 million, more on this in the financial section with Eugen. So having said this, I will now hand over to Eugen for the financial details.
Eugen Stermetz: Okay. Here we go. Good morning, everybody also from my side. I'll start as usual with group revenue on page 21. Leaving aside the sizeable currency impact for the moment underlying revenue was up 77 million year-to-date. Swisscom Switzerland down 39 million and Fastweb up 109 million. I'll start on the Swiss side. B2C revenue was down 23 million in the first nine months. That was primarily driven by lower hardware revenues. Service revenue was only marginally lower, and other revenues were up, as we shall see. So that's mainly a reflection of lower hardware revenues, which means lower handset sales, which seems to be a bit of a general market trend at the moment. B2B revenue down 13 million. The typically mix of service revenue decline on the one hand, and IT service revenue growth on the other hand, and the balance coming from hardware, which didn't compensate fully for the service revenue decline. Wholesale is basically stable year-over-year in revenue. So more importantly, over to Fastweb with 109 million plus compared to prior year or 6% plus in the first nine months, driven by increases in revenue, both on consumer enterprise, and wholesale, obviously mainly driven by the Enterprise segment. As Christoph already mentioned, the third quarter was exceptionally strong, is plus 56 million compared to prior year or 9.4%. That was mainly driven by hardware revenues and ICD revenues with large customers and comparatively low margins. So Q3 is here certainly a bit of an outlier, and as Christoph mentioned, certainly not to be extrapolated and also doesn't drop down to EBITDA proportionately, as we shall see. So our advice as Christoph already mentioned is for the full year to stick to our -- sorry -- to our revenue growth guidance of plus four percent, which simply mechanically means that growth in the fourth quarter year-over-year will be very weak or even negative. The comparable last year in the fourth quarter was very strong with high yield revenues in the wholesale segment, and also some very strong one-off revenues in the enterprise segment. So the facing was very different last year, and this year -- last year, with an exceptionally strong fourth quarter, this year with an exceptionally strong third quarter. So that creates a bit of fluctuations in the year-over-year growth numbers, if you look at individual quarters. I'll move on to page 22 Swiss revenue. The individual components on the left hand service revenue down by 56 million, B2C only marginally down with minus 14 million in the first nine months. B2B a bit more pronounced as expected. All-in-all, the year-to-date service revenue decline is a bit higher than originally anticipated. That we hope for a flat service revenue in B2C. We are very close to that, but not exactly at the flat point. IT service revenue up 22 million or 2.6%. Part of it is non-organic. We accept acquisition accounts for about a third of this growth. Hardware sales are down. This is mainly driven by B2C. As I mentioned, wholesale, we talked about, and we have a positive effect from other revenues, plus 26 million, about half of which is the pickup in our cinema business, which is obviously, very positive and not entirely anticipated. Seems that cinema entry levels are almost back to where they were prior to the pandemic, and that's obviously a very positive thing and gives us positive impact on the Swiss, on the Swiss revenue side. Service revenue evolution, top right, minus 23 million in the third quarter. B2C, basically the same as in Q1 and in Q2. B2B service revenue decline is a bit higher than in the previous quarters. The difference is entirely driven by roaming. So we had a roaming pickup in Q3, Q4, last year, and this gives us a little bit of a decline in roaming revenues year-over-year, which we didn't have in the first two quarters. So that's entirely explained by this. There is no other structural shift that we could see in the numbers between Q1, Q2 and Q3. And so we do expect a similar picture also in Q4. If you look at the individual drivers on the bottom right side, they are basically the same as in Q2. The only difference you will find if you compare the individual drivers to the Q2 numbers is in B2B wireless, where we have a minus eight, here in Q3. And this difference between Q2 and Q3, as I mentioned, is entirely driven by B2B roaming numbers. I'll move on to page 23. Group EBITDA, I go directly to the Switzerland and Fastweb numbers and leave aside exceptional pension currency, et cetera, because there was not much news in Q3 on these topics. Anyway. Swisscom Switzerland, basically flat with plus 10 million in the first nine months year-over-year. B2C plus 9 million. That's cost savings overcompensating the -- anyway, small service revenue decline. B2B, in B2B, that's not the case. We have minus 32 million compared to previous year. Very much driven by the third quarter. Overall there is -- that's obviously the impact of the service revenue decline, not compensated by EBITDA growth out of IT services, or cost savings. The Q3 decline is particularly strong, not necessary to be extrapolated. We had lower cost savings in Q3. We had particularly low cost in the prior year quarter Q3, and we had lower IT profitability in Q3, so that all add up to these 90 -- minus 20 million in Q3. Infrastructure & Support Fractions, plus 32 million, that the cost savings coming in. We'll cover that on the next page. And Fastweb EBITDA is up 12 million or 1.9% with a 4 million regular contribution to EBITDA growth in the third quarter, all as expected and as guided. I'll go to page 24, Swiss EBITDA. So the only noteworthy topic on that page is obviously the cost savings in the telco business. We stand here at plus 50 million in Q3 with plus 10 million cost savings came in again at a very reasonable pace. And as Christoph already mentioned, we are already where we expect it to be roughly by the end of the year and we will certainly also have some more cost savings coming in Q4. So you can expect, as we guided at the beginning of the year, cost savings in the telco business to compensate by and large the service revenue decline we'll see for the full year. In the IT business, obviously, costs go up in line with higher revenues. It's also not entirely like-for-like since the cost of the Axept acquisition are also in here in the IT business for the increase. I'll move onto page 25, CapEx. For the first nine months at 1.6 billion. CapEx is in line with guidance. In the breakdown on the Swiss side, on the right hand side, fibre CapEx stands at 298 million, which is certainly a bit on the lower side. We practically have no FTTS rollout anymore, it was all done last year. So almost all of those 298 million come from the FTTH rollout, which is up 93 million year-over-year. For the full year, we will almost certainly be short of the 500 million we talked about in terms of fibre CapEx. And the reason is we went a bit slower this year given the switch from the point to multipoint rollout, the point-to-point rollout, where we had to redesign the rollout. Obviously, this has no impact on our midterm coverage target of 55% of households in 2025. I'll move to page 26. Free cash flow bridge. The free cash flow was up 57 million compared to prior year. That's mainly driven by an increase in operating free cash flow proxy of 109 million. The only significant structure non-cash item or the only significant structural effect between the operating free cash flow proxy and free cash flow is the pension effect. You know that we have an uplift in EBITDA out of lower pension expense, which is non-cash. It adds up to 66 million year-to-date. This will go up to roughly 90 million or 100 million by the end of the year. So that's the only structural item that will remain in that bridge. Apart from that, we have two more volatile effects. On the one hand, there is a change in net working capital. Net working capital changes minus 242 million year-to-date. That's not unusual for Q3. It has already come down from Q2 at 75 million above prior year, but we expect this to revert towards the end of the year and not give us any significant year-over-year effect once we come to year-end. And the second more volatile effect in there is the tax payment schedule, which was pretty accelerated last year. We have a more regular tax payment scheduled this year. So this gives us a positive year-over-year effect of 81 million. So all-in-all, the 109 million operating free cash flow proxy deviation to the prior year translate into 57 million on free cash flow. I'll move on to page 27, the net income bridge. Net income is up by 98 million. Obviously that's driven by the increase in EBITDA and EBIT. We are only compensating factor that reduces the impact a little bit is the lower financial result. We had an extraordinary positive financial result in the prior year. So that gives us a minus 46 million compared to prior year. So the 136 million, which EBITDA is up, translate into 98 million in net income increase. With that, I come to the final page, the guidance. So first of all, EBITDA and CapEx guidance are unchanged. We do adjust the revenue outlook from the outlook so far 11.1 billion to 11.2 billion to the new outlook approximately CHF 11.0 billion. There are two reasons for that. Reason number one is the strengthening Swiss franc or weakening euro, depending on how you would like to see it. So we built the original guidance on an FX rate of EUR 1.0 to Swiss franc, which was the prevailing exchange rate at the time of the guidance. And now obviously, this doesn't hold true anymore. We expect for the full year at 0.98 exchange rate. So that costs 50 million in revenue in terms of Swiss francs. That's effect number one. Effect number two. We have a mix of smaller revenue items in Switzerland that are a bit lower than originally anticipated. Most importantly, hardware sales are lower than expected. I already talked about this before. Virtually no impact on bottom line. IT service revenue growth a bit lower than anticipated, virtually no impact on bottom line growth. And service revenue in B2C is a bit lower than originally anticipated and that's fully compensated by higher cost savings. So all-in-all, no impact on the EBITDA guidance although one word of caution that I repeat that I already mentioned it in Q2, we are certainly trending towards the lower end of the range, because obviously the FX rate also impacts the EBITDA, even if not to the same extent as on the revenue side. Obviously, all of this has no impact whatsoever on our dividend guidance, which remains unchanged at CHF 22 per share. And with that, I hand back to the operator.
Operator: Thank you. [Operator Instructions] I will now open the first line.
Polo Tang: Hi. It's Polo Tang from UBS. I just have two questions. The first question is about competitive dynamics. So your competitors have put through price rises of 3% to 4% in July and September, but what impact has this had on the market? And what are you seeing in terms of promotional activity? So specifically, can you talk through what you're seeing in terms of the duration of promotions? My second question is really just about cost inflation. So you originally expected 100 million of gross savings and then 50 million of cost inflation to give you net savings of 50 million for this year. However, you're obviously running ahead of expectations on net savings. So can you maybe talk through what is driving this higher level of net savings? And also as we think about 2024 qualitatively, how should we think about cost inflation for the coming year? If Swiss inflation is easing, should we expect more of your gross savings to drop through to net savings? Thanks.
Christoph Aeschlimann: Hi, Polo. It's Christoph. Happy to take the first question on competitive dynamics. True that competitors increased headline prices on early mid this year. The impact we see is not very big as the promotional activity is continuing to be very intense, and mainly the market is driven by the behavior of salt and the second brand Yallo of Sunrise, which has, I would say, the same aggressiveness as ever. Yesterday, they started Black November promotions with minus 70% lifetime discounts, which is very aggressive from our point of view. And this obviously also impacts our net adds going forward. And if you look at, let's say, customer behavior or competitive dynamics, they're mainly not so much driven by our front book or headline prices, but very much by the promotional activity of the second brands in the market which continues to be very much aggressive.
Eugen Stermetz: Okay. Then on the second question of cost savings and cost inflation, yes, you're right. These were the rough numbers we gave at the beginning of the year with roughly 100 million gross and roughly 50 million net with the difference coming from inflation impacts. It now looks like that towards the end of the year, the inflationary impact will rather be around 30 million. And so this is where the numbers come from that Christoph mentioned in the first part of the presentation.  For next year, you're right, inflation is -- seems to be coming down a bit, although already at the beginning of the year, the forecast were for inflation to come down during the year and then pick up again towards the end of the year, because there are a couple of -- or there's a number of regulated prices in Switzerland that kick-in at a different time schedule, if you like, than the general inflation. So it remains to be seen what inflation will be next year. We already see the first indications of personnel cost inflation. So the first bargaining agreements have been closed, sometimes north of 2% with unions demanding even more than that. So I'm a little bit cautious when it comes to next year. I wouldn't assume that inflation goes array or anything. Quite to the contrary, it will certainly stay around. The question is at what level. We'll make up our minds on that when we come to the full year conference and present the guidance for next year. What is clear is that our ambition and our commitment to continue cost -- to continue to gain cost savings from the Swiss telco business is completely unchanged. And the exact outlook for the next year, we'll present in February.
Polo Tang: Thanks.
Operator: Next question.
Georgios Ierodiaconou: Good morning. It's Georgios Ierodiaconou from Citi. I have two questions. The first one is just a follow-up on the earlier question from Polo around the promotional intensity. You mentioned what your competitors are doing. Just curious from your side whether you feel the need to respond or whether you will accept slightly lower growth in customers, but continue the ARPU accretive strategy you are following this year. And what could change that? If you could comment on that as well. And then my second question -- and again, you mentioned earlier it's the 100th conference call of Swisscom. I think I dialed in just over 65 of them. And I think it's been more than 50 since I asked a question about the dividend. But I'm going to do it now and in the following context.  Your net debt to EBITDA is declining. You clearly have some buffer for options. I think Christoph mentioned the ruler area fibre programs in Switzerland. I'm just curious if there is potential for CapEx to go up for you to also participate in some of these programs, or whether you would think about returning more cash to shareholders in the next couple of years? Or I guess, the third option is more like M&A and other strategic opportunities. So if you could comment on those, it would be great. Thank you.
Christoph Aeschlimann: Okay. Thank you, Georgios, and happy that you have joined so many of our quarterly results and are still following us today. Maybe on the follow-up on corporate competitive dynamics, so we are continuing our focus on value in Switzerland and in Italy. But mostly in Switzerland, we continue to take out promotional aggressiveness. So we have nearly removed all promotions on the main brand. We are -- have increased prices on our second brand to try to execute the value strategy and not, let's say, accelerate price erosion in the market. But obviously, depending on how the market evolves and the impact on net debt, we -- there might be a necessity to react in some way or the other, especially if things become too aggressive. But for the moment I would say we are continuing our value strategy and observing that impact on the market.
Eugen Stermetz: Okay. We were smiling when you introduced your question. And now we are struggling who should answer it. So I'm happy to answer it. You ask me directly. I think it's only my 11th quarterly results. But since I am doing this, obviously, I get the question on a regular basis, not the least from you. My answer is also always the same. Our dividend policy is tied to our free cash flow. We are committed to pay out a higher share of free cash flow and any change in dividend would depend on a sustained change and substantial change in free cash flow. So if you think about the dividend going forward, you first of all need to think about free cash flow evolution. And I think for the last 10 years, not quarters, our free cash flow was about 1.1 billion. So this is why also the dividend was always the same. In particular, to your question on the fibre programs by -- potential fibre program by the government, it's not done and dusted. Potential fibre program from the government for peripheral regions, that's not something that has a significant impact on our fibre CapEx over the next couple of years. It will take a lot of time and if you need definition. It's completely unclear at the moment how this will play out. So I think our fibre CapEx envelope that we mentioned many times for the years to come remains the same and is not affected by this program. And so there is certainly no impact to expect it out of that near term on our free cash flow generation, let alone on the dividend.
Georgios Ierodiaconou: Thank you for the answer. If I could ask a follow-up. I understand that dividend linked to free cash flow. But at the same time, you are slightly deleveraging every year. Any thoughts about how you could use this flexibility in the future? If it's not fibre and it's not dividend. Is it more likely to be buybacks or M&A or nothing? Just…
Eugen Stermetz: We feel quite comfortable with the leverage where it is. As you know, contrary to many of our peers, we do have an upper limit in leverage of how far we can go at 2.4x. Obviously, we have a considerable buffer to that number, but it's also necessary to have a buffer if you have an upper limit. Others don't have that. So yes, leverage is coming down slightly, but we feel very comfortable with where it is.
Georgios Ierodiaconou: Very clear. Thank you.
Operator: Next question.
Joshua Mills: Hi, guys. It's Joshua Mills at BNP Paribas Exane. Maybe just a follow-up on the fibre debate and plan for the future. So I believe you stopped working a decent scale with the Swiss fibre now on co-investment and roll out a while ago now. They still have this target out there of covering another 3 million homes and finding additional financial and potentially strategic partners to help them with that. I just wondered whether you had any more conversations with them regarding a kind of cooperation. And if there were federal gigabit funding on offer, whether if that could change the picture as well. So any update you can give us on that would be great. Thanks very much. 
Christoph Aeschlimann: So we don't have any conversation ongoing with SFN. I think that's, I believe, who you referred to before with their ambition to build a higher footprint. So we are focusing on our own rollout and we are collaborating locally, mostly with local utilities companies when there is an opportunity to collaborate, but it's more on a municipality-by-municipality basis of the local utility companies rather than with SFN where there are no ongoing talks at the moment. With regards to the fibre program of the government, which they are discussing in parliament, the law they are discussing will only come into effect in 2027 or 2028. So will, in anyway, not impact our rollout for the next four or five years. And it also has quite a limited scope. What they are discussing right now is sort of really funding the most one or two expensive or most remote locations. So we are talking about quite a limited scope overall in the country. So we will see how this debate goes in parliament. But as Eugen pointed out, for the next four, five years, this will not impact our CapEx or fibre rollout CapEx in any way.
Joshua Mills: Understood. Thank you.
Operator: Next question.
Unidentified Analyst: Yeah. Good morning, guys. Steve from Redburn Atlantic. Thanks for taking the question. A couple if I could. First of all, just going back to that Fastweb enterprise revenue growth. I guess, the EU Recovery Fund, it feels a bit like the Yeti. It's often talked about we never seen. And this is, from memory, the first time I've seen any revenues come through. So can you just help us understand, it looked like you booked an extra 25 million, 30 million of revenue this quarter, given the normal growth rate sort of 4%, 5% enterprise with 20% Fastweb by this quarter. So maybe just a bit more color on what drove that growth and why it will unwind so quickly in future quarters, that would be great. And then just on Swiss service revenues. It looks like you're sort of annualizing at sort of minus 70, 80 now. Consensus thinks you might get to flat by 2025. Is that realistic, or are we kind of at a level you're happy with in terms of annual revenue loss? Obviously, not you were two years ago, because you can continue to drive improvements there given how competitive the market is that you've already talked about. Thanks a lot.
Eugen Stermetz: Yeah. Steve, I see if I can take the first question. So yes, your calculation is right. Over and above what we would expect is, say, a normal growth out of the enterprise business in Italy. There is an additional 25 million or so of revenue. As I pointed out, it's mostly related to a large customer, one-off projects, other shipments, et cetera. So this is something that you don't repeat every quarter. You expect it from time to time that you have this sort of high-half of deliveries. And this is happening in Q3. As I mentioned this part of the delivery typically margin is very low and that is also why you don't see any [indiscernible].
Unidentified Analyst: Okay. That seems like an awful lot of equipment from one or two large customers. Any sort of color as to what it would be?
Eugen Stermetz: We can't go into the details, obviously, of individual customer relationships. You're not on the wrong path that some of it is tied to large orders in connection with public authorities in Italy buying equipment and upgrading their IT systems as a consequence of the coverage [ph] plan. So that's about what it's all about.
Unidentified Analyst: Okay. Thank you.
Christoph Aeschlimann: And then maybe on the service revenue question. I mean, so your calculation for this year is not correct. We probably end up somewhere at 70 million, 80 million on a full year basis service revenue [ph]. Are we happy with it? I wouldn't -- I mean, it's much better than it used to be in the past. Yes, there's a positive note. But obviously, we cannot be entirely happy with something that is declining. So from a commercial perspective, it is obviously our goal to continue to decrease the service revenue decline. I -- honest, I mean, we are not providing any guidance for 2025, but having a net service revenue in 2025 is very ambitious to me, and very hard to execute. Maybe it's potentially possible on the B2C side. But certainly on B2B, the market dynamics and price erosion in the market are such that flat service revenue evolution in 2024 or even 2025 seems very unlikely. But having said this, I think overall we are working and trying to find measures that we can execute to start to limit the service revenue erosion also on the B2B side. But we will see also how the market evolves and how competition behaves in 2024, which will be a main driver in our service revenue evolution.
Unidentified Analyst: Thanks very much. Thanks for the answers.
Operator: Next question.
Titus Krahn: Good morning, everyone. Thank you for taking my question. This is Titus Krahn from Bank of America. I have just two, if I may. First, maybe on your secondary brand in Switzerland, which you talked a little bit about during the presentation mentioning that you want to improve the value focus there. And then maybe just given that currently we have, I think, 30% share in postpaid, 8% share in broadband of the secondary brands, looking ahead, not just for the next quarter, but really in the medium to long-term, steady state maybe even. What share of secondary brands would you actually feel comfortable with in those two segments? And then second question on -- just on your start up investments actually. If I remember correctly, you gave an interview quite recently in which you voiced an ambition to improve start up financing in Switzerland. Can you maybe talk a little bit about strategy that you're following in that area, how much synergies do you actually expect and get from those investments? And how can we see those activities within your financial statements? Thank you.
Christoph Aeschlimann: Okay. Thank you, Titus. So on the second brand, it's true that the second brand share on wireline is much lower than on wireless. So we think that there is some value to be captured by positioning wingo more as a full service provider in the market and recovering some of the customers we lose on the broadband side and moving them to the second brand. And so probably the 8% share will continue to be slightly increase in the future. Whereas on the mobile side, we're already on 30% and continuing to increase. So this is, I would say, maybe not a watch point, but something that we are observing quite closely and also thinking about exactly what you asked, is it what level are we comfortable with where do we want to end up with a second brand penetration. And it's something we are working on at the moment to see how things should evolve in the future, but it's too early to, let's say, to talk about more details. On the start up side, so basically, the idea behind this initiative is that we believe that Switzerland is very strong on the innovation side. A lot of money is pulled into R&D. We also have a lot of start ups that are incorporated. But when it is going into sort of the scale-up phase, Switzerland is typically lacking capital to finance the scaling up of start ups on a worldwide basis, which leads then to the startups being sold too early or then moving away or moving headquarters away to other countries, the US or some EU based countries, which we believe is not in the interest of the country. And as a tech provider, I mean, we have a strong interest in having a strong economy in Switzerland with more companies which are successful, that could be our customers. And we also have a strong interest in having a strong tech sector in Switzerland in the vibrant tech sector. And this is why we are engaging in this area and trying to make politics, but also the wider society, where that start up financing is an important lever for the financial success of the company in the coming decades. And this is also why we are participating in trying to convince people to put more money into this area. It's not a question that Switzerland does not have enough money that could be invested. The pension system alone invest over CHF 1,000 billion, but it's more a question of where the money is allocated? Is it going into the blue chips and debt or obligations? Or is it going into startup or alternative investments? And so this is basically the idea behind that we have -- continued to have a strong country, a strong economy and a healthy evolution of Switzerland. Also making sure we have tech players here, which could potentially increase our serenity or relative serenity in terms of technology, which from our point of view is an important aspect. If you look at the US versus Europe versus Asia developers, geopolitical developments. But it's more, let's say, long-term contribution to the country's success rather than something that will immediately yield short-term cash flows for Swisscom.
Eugen Stermetz: If I may add just one thing. We have been running a corporate venture fund within Swisscom for a very long time already. So the concept is not entirely new. And there is certainly not a new step change in any way to our financials out of this initiative. It's more about motivating others to join us in what we have been doing already for a while.
Titus Krahn: Okay, very helpful. Thank you.
Operator: Next question.
Luigi Minerva: Yes. Good morning. It's Luigi Minerva from HSBC. Thanks for taking my questions. The first one is on the B2B service revenue outlook in Switzerland. I understand your comments that you still expect erosion in the next couple of years. But normally NPS is a good early indicator of a turnaround in trends. And you mentioned the excellent NPS results on B2B. So I was wondering where do you see the trough for the B2B service revenue decline. Are we close to the trough? Is it Q3 the trough? So yeah, if you can help us a bit on that. And also you mentioned that IT is behind expectations as many customers are delaying projects. Is that a sign of macro pressure or was it more specific? And then second question is on Fastweb. And you mentioned your ambition to grow mobile to scale. I think there is a legislation work in progress in Italy about preventing large operators from targeted promotions. So it's quite normal in Italy to see offers specific for customers coming from MVNOs or from smaller operators. And I guess if that legislation was to go ahead, it will probably help a smaller operator like Fastweb. So I'm wondering whether your ambition to grow mobile to scale in Italy also is a reflection of this debate. Thank you.
Christoph Aeschlimann: Thank you, Luigi. I'll tackle your second question, because it's an excellent -- very well spotted. So indeed I mean if you look at Q3 results, the mobile growth, which has slowed down to some extent, it's also driven because of these targeted very -- there are very aggressive targeted promotions actually geared towards Fastweb customers, which are executed by the large operators with sort of these targeted offers. So now the commission of the parliament has actually said yes to forbid these targeted offers and we will see how the full parliament -- if the full parliament goes ahead and approve the offer. But it is some -- I mean, this should generate some positive results on our net add activity, should this activity be forbidden in the coming weeks or months. So we will see how fast the Italian parliament moves on this. But there is -- this is indeed something to watch and which should hopefully generate positive impact next year. Now on the Swiss B2B service revenue side, so yes, I think NPS is very encouraging that NPS is increasing and it helps us keep our customers. But if you look at what's going on in the market, the price aggressiveness of the other players in the B2B space is very high, which continues to put us under pressure when the contracts are up for renewal. Which is certainly more the case on the mobile side, but also on the wireline side, you have renewals upcoming. You have technology changes with people moving to SD-WAN, et cetera. So we do expect continued revenue erosion to happen in spite of high NPS rates, probably would be even worse if we had a lower NPS rates. And that's also why customer satisfaction is so important to stabilize the business. On the IT side, I think there is some macro pressure and some of the companies are delaying because of declining order books. Especially in the industry, you see -- you read more news in the newspapers that order books are declining and the companies are sort of delaying investments. But overall, I think IT and digitization is a big driver of cost savings in many industries, and it is still valid for the years to come. So we do expect the IT investments to continue to stay high and not change dramatically. And this is also why we continue to believe that we can grow further in IT services and continue to focus on this both on organic growth, but also inorganic growth if we find good opportunities to buy companies to complement our IT offering.
Luigi Minerva: Great.
Operator: Last question.
Nuno Vaz: Good morning. This is Nuno Vaz from Societe Generale. Thank you for the opportunity. I had two questions on my side. One is on the broadband net add side in Switzerland because we saw you still with negative net adds. Sunrise yesterday also reported negative net adds. So I'm assuming that the overall number of broadband in Switzerland is not declining. So these lines must be going to someone else. Salt is the obvious candidate. But of course, they don't disclose the number of lines, but they announced back in May, 200,000 customers. So they didn't seem to have a lot of momentum. So I was wondering if they gained momentum since then. Or if these lines are potentially going to some other third-party providers like Highway or VTX, and I was wondering what network they are using because your wholesale lines are not increasing. So just trying to understand a bit more of the broadband dynamics in Switzerland. Then the second question is pretty simple, but I think very relevant for your cost savings, which is your number of employees seems to be consistently increasing this year. I know you bought a business, but from what I understand, it's not so big that you would -- it would not -- still not allow you to reduce your number of employees year-over-year, especially if your top line is declining. So just trying to understand why not let the natural reduction in headcount if the top line business service revenue is also coming down? Thank you.
Christoph Aeschlimann: Thank you. I'll take the first question. So on the broadband side, I mean, we haven't seen the full market numbers yet. So we don't know if the market is declining or not, but I also assume that the market is not declining and actually still slightly growing in line with the construction activities in Switzerland. And so as you mentioned, some of our competitors have a strong momentum and continue to grow. And we do see this in our wholesale figures as they are all customers of our wholesale business. But on the overall, let's say, wholesale numbers you see and we report, there is also a countermovement with Sunrise, which are optimizing their lines activities and moving some of their customer base to their own network. So overall, you see sort of a pretty flat wholesale business. But inside there is -- there are active, let's say, customers which are declining and others which are growing, which might be explained why you can't add up the numbers from us losing and you don't see growth somewhere else.
Eugen Stermetz: Okay. I'll take the second question on the number of employees going up. Very well spotted. There is three -- so first of all, we do reduce number of FTEs in a number of functions. But at the same time there is at this point in time this specific compensating factors. One of them you mentioned we did an acquisition in the B2B business that's close to 200 people that we added to the payroll due to the Axept acquisition, point number one. Point number two, we have a long-running program of in-sourcing IT development ongoing. So we replaced CapEx that is currently with external software providers with internal employees in our software development reassuring centers. That's quite a significant development. It all plays out in CapEx. That's one of Steve's favorite topics. But it all plays out within CapEx, but obviously, it shows up on the payroll and in the FTE numbers. And finally, the third specific factor is, within Fastweb, we are reinsourcing parts of our customer care that was outsourced for a couple of years and for a number of reasons, we insource again. So these three factors contribute to a net increase in FTEs where in reality, behind these net numbers, there is FTE savings on the one hand and the three factors, gross additions on the other hand with a net positive effect.
Nuno Vaz: Okay, that's clear. Thank you.
End of Q&A:
Louis Schmid: Okay. With that, I would like to conclude today's conference call. Thank you for your participation. Should you have any further questions, please do not hesitate to contact us from the IR team. Thank you again and have a nice day.
Christoph Aeschlimann: Thank you. Goodbye.
Eugen Stermetz: Bye-bye.
Operator: Dear participant, the conference call has come to an end. Thank you for your participation.